Operator: Thank you for standing by. This is the conference operator. Welcome to the lululemon athletica inc. First Quarter 2023 Conference Call. [Operator Instructions] And the conference is being recorded. [Operator Instructions]
 I would now like to turn the conference over to Howard Tubin, Vice President, Investor Relations for lululemon athletica. Please go ahead. 
Howard Tubin: Thank you, and good afternoon. Welcome to lululemon's first quarter earnings conference call. Joining me today to talk about our results are Calvin McDonald, CEO; and Meghan Frank, CFO.
 Before we get started, I'd like to take this opportunity to remind you that our remarks today will include forward-looking statements reflecting management's current forecast of certain aspects of lululemon's future. These statements are based on current information, which we have assessed but by which its nature is dynamic and subject to rapid and even abrupt changes. Actual results may differ materially from those contained in or implied by these forward-looking statements due to risks and uncertainties associated with our business, including those we have disclosed in our most recent filings with the SEC, including our annual report on Form 10-K and our quarterly reports on Form 10-Q. Any forward-looking statements that we make on this call are based on assumptions as of today, and we expressly disclaim any obligation or undertaking to update or revise any of these statements as a result of new information or future events.
 During this call, we will present both GAAP and non-GAAP financial measures. A reconciliation of GAAP to non-GAAP measures is included in our quarterly report on Form 10-Q and in today's earnings press release. In addition, the comparable sales metrics given on today's call are on a constant dollar basis. The press release and accompanying quarterly report on Form 10-Q are available under the Investors section of our website at www.lululemon.com.
 Before we begin the call, I'd like to remind our investors to visit our Investors site where you'll find a summary of our key financial and operating statistics for the quarter as well as our quarterly infographic. Today's call is scheduled for 1 hour [Operator Instructions]
 And now I'd like to turn the call over to Calvin. 
Calvin McDonald: Thank you, Howard, and welcome, everyone, to our call today. I'm happy to be here to discuss quarter 1 and share with you our strong start to 2023, which shows the continued momentum in the business. As you've read in our press release, we delivered top and bottom line results that exceeded our guidance. We continue to engage with guests across the globe and drive our business with new and innovative technical products.
 On today's call, I'll provide updates on our quarter 1 performance, our community-based model, which is powered by our new membership program. I'll also share highlights on our product performance as well as our international business. And then I'll turn it over to Meghan for a review of our financials and a guidance update. Then we'll take your questions. So lots to share. Let's get started.
 In quarter 1, as I mentioned, the business delivered strength across both the top and bottom line. Revenue increased 24% versus last year, balanced across category, channel and region. Women's was up 22%, men's was up 17%, and accessories was up 67%. Comparable sales grew 16% in stores and 18% in our e-commerce business. And by region, North America grew 17% and international increased 60%.
 Within international, we saw a meaningful acceleration in the Greater China business with revenue increasing 79%. EPS was strong as well, increasing 54% versus last year to $2.28. This strength was driven by revenue, gross margin and SG&A, all coming in better than our guidance. So a great start to the year, fueled by our product and people.
 For today, I'd like to devote some time to talk about our community-based model. Not only does our approach allow us to connect uniquely and authentically with our guests, it also drives incrementality of spend and increases LTV as guests engage more with our brand. We are celebrating our 25th anniversary this year, and community has been at the core of our brand since day 1.
 Within North America, 8 months ago, we embarked on an expansion of our model with our Essentials membership program. Through this free-to-join program, we gained deeper knowledge on how our guests like to sweat and what aspects of our brand are most meaningful to them. We can leverage the data and insights to help develop future activations, invite them to the events that are most relevant to them and inform our product pipeline with opportunities around unmet needs.
 Our stores are an integral part of this ecosystem as they provide connection points within local communities across the world and serve many purposes, including allowing our guests to interact with our educators to learn about our product, the technical innovations that can be found within our assortment and the unmet needs they solve.
 Secondly, our stores act as hubs for our local ambassadors and fitness studios. Guests looking for new ways to sweat in their neighborhood need only enter the local lululemon store where our educators will point them to the best studios in town.
 Thirdly, our stores are the focal point for local events that range from hosting run clubs and other sweat sessions to parties and community celebrations.
 And finally, our stores provide support for some of our larger-scale activations, such as our 10K runs, product launches, including footwear and our lululemon Studio launch last fall.
 In quarter 1, we saw a meaningful increase in the number of community events compared to the same period last year, and this brings us back to the prepandemic levels. Key celebrations in the quarter included our Align Campus Haul Pass event to increase awareness of our new Align styles with our younger guests. And exclusively for Essential members, we ran 6 events across 3 cities, in Houston, Chicago and Boston, which were a great success and hugely oversubscribed.
 Most recently, May has been a big month for activations. We went live with our new lululemon Studio digital app earlier this week. The app, which will help us broaden our TAM, offers guests in the U.S. access to our industry-leading content for only $12.99 per month without needing to purchase hardware.
 We announced our FURTHER initiative. Further will demonstrate how far women can go when they're supported with resources and product innovations typically reserved for men. This initiative will include a scientific research program which takes a holistic approach to addressing the existing sex and gender data gap in endurance performance, new women's first product innovations, community activations and a giveback component to support young women. In addition, the program will culminate in a multiday women's-only ultramarathon starting on the International Women's Day 2024. At its core, this initiative supports lululemon's commitment to innovation, solving for unmet needs and driving brand awareness.
 In addition, we tapped into dupe culture with our Align Legging Dupe Swap event in L.A. Our team set up a 2-day pop-up at the Century City Mall and asked guests to trade in their dupe leggings for a pair of our iconic Align Leggings. For us, the primary purpose of this event was new guest acquisition and increasing brand awareness for being the original in leggings.
 Overall, it was a resounding success. It generated more than 1 billion earned media impressions and was covered by national and international media outlets in addition to creating viral social media buzz. About 50% of the guests who traded in dupes are new to our brand. Approximately half of the guests who attended, some of whom started waiting in lines as early as 3 a.m., were under 30 years old. And while I won't get into specifics, the leggings that guests traded in ran the gamut in terms of brands and price points.
 We view our community model as one of our biggest competitive advantages. With connection points across both the physical and digital, our ecosystem powered by membership supports our leadership position in developing and cultivating omni guest relationships. We engage with guests in ways that are more than just transactional by creating deeper connections and more holistic relationships. This in turn builds our brand awareness, drives purchases and contributes to our strong financial performance.
 Let's shift now to our product innovation. Guests responded well to our spring merchandise assortment as we continue to bring compelling innovation across our core and play activities in footwear. In women's, we saw continued strength in many of our key franchises, including Scuba, Define and Align.
 When looking specifically at women's bottoms, we saw growth of 22%. While women's bottoms is our most mature category, our teams continue to update and enhance existing styles, bring innovation via new fabric technologies and create new styles and silhouettes that solve for unmet needs. In quarter 1, our strength in women's bottoms was driven by our iconic Dance Studio pants, which has always been a guest favorite and is currently experiencing a resurgence in popularity; the newest additions to our Align franchise, including the Mini Flare and Wide Leg; and our incredibly soft and smooth Softstreme bottoms.
 In men's, guests continue to respond well to our iconic ABC, Commission and Pace Breaker franchises. In accessories, I'm thrilled with the strength we continue to see across our assortment. While it is the smallest of our 3 major merchandise categories, it is a growing piece of our business that we fuel with innovation, just as we do across women's and men's. In quarter 1, guests responded well to our collection of bags, backpacks and duffles.
 And we continue to bring newness and innovation into our footwear assortment. In quarter 1, we launched an updated and enhanced version of the Blissfeel running shoe. And just last week, we launched the Blissfeel Trail. This shoe was our first road-to-trail running shoe designed to offer traction and durability for guests who love to run on the trails and off the road.
 Our Be Planet initiatives are also driving product innovation in support of our 2030 goal to make 100% of our products with sustainable materials and end-of-use solutions. For Earth Day in April, we debuted our first capsule collection made with plant-based nylon in collaboration with Geno, a leader in the sustainable material space. More recently, we announced a new partnership with Australian and viral tech start-up, Samsara Eco, to scale circularity through textile-to-textile recycling, which is a very cool technology. Together with Samsara, we're working towards recycling our apparel back into new products, bringing us one step closer to our end-to-end vision of circularity. This partnership, along with our other Be Planet initiatives, including Like New and our collaboration with Geno, is the latest example of how we are taking a leadership position in our sector and driving toward a circular ecosystem by 2030.
 Turning now to our product pipeline. Let's take a look at quarter 2. We're continuing to build out our golf and tennis collections with versatile styles that can be worn both on and off the course and court. The second installment of our Get Into It campaign launched 2 weeks ago and featured both technical shorts and new on-the-move styles for both him and her. And for men, we'll be expanding our offering of train tops with new styles using our Drysense fabric technology. These are just a few examples of how we continue to bring innovation into all areas of our assortment, solve for the unmet needs of our guests, increase wallet share and grow our brand awareness.
 Before I turn it over to Meghan to discuss our financials, I'll take a moment to share some geographical highlights with you. As you know, 1 of the 3 key pillars of our Power of Three x2 plan is international. We have a target to quadruple our business outside North America between 2021 and 2026. This will be driven predominantly by our existing markets, but we'll be entering some exciting new markets as well.
 In 2022, international represented only 16% of our revenue, and I remain optimistic about our runway of global growth. As I stated earlier, our business remained strong in North America and across our international regions. In quarter 1, revenue in North America increased 17%, while we saw a 60% growth in international. In Greater China, we experienced a significant sequential acceleration in the business relative to quarter 4 as the effects of COVID-19 subsided. In total, revenue in Greater China increased 79% in quarter 1, ahead of our expectations and just one more sign of the potential within this market.
 I had a chance to visit Shanghai in mid-April for the first time in 3 years, and it was great to see how much our brand has grown in the city. We walked through the neighborhoods we serve, visited our new stores, and I was impressed by the incredible brand experiences we are bringing to the local community. In addition, spending time with our educators as they engage with guests and bring our culture to life is always one of my favorite parts of being in market.
 In EMEA, we're off to a great start in Spain, a market that we entered last fall. And with the help of a franchise partner, we recently opened our first store in Tel Aviv with Israel becoming the 24th market globally for lululemon. We know that the Israeli guest has been engaging with our brand while traveling to other regions, and now we'll be able to bring our product innovation and community and guest experiences directly to them in their home market.
 In APAC, business remains robust as well. And in the coming months, I'm pleased that we will enter Thailand with our first store in Bangkok. Our approach to increasing brand awareness and growing revenue internationally is rooted in the same tenets as what has fueled our success in North America. This includes our multichannel direct-to-consumer model, our community-based approach to brand building, our innovative product assortment and the deep and direct connections we have with our guests. I'm excited for what the future holds for our global business as we continue to execute the Power of Three x2 growth plan.
 And with that, I'll now turn it over to Meghan. 
Meghan Frank: Thanks, Calvin. I'm happy to be here today to discuss our recent financial performance and provide you with our outlook for Q2 and our updated guidance for the year.
 In Q1, sales, gross margin, SG&A, EPS and inventory all came in better than our guidance. Guests responded well to our spring merchandise assortment, we saw sales trends accelerate in Greater China, and we connected with our guests via multiple activations throughout the quarter. 2023 is off to a strong start, and based on our guidance, we continue to see solid momentum in Q2.
 Let me now share the details of our Q1 performance. Total net revenue rose 24% to $2 billion driven by continued strong execution across all parts of the business. Comparable sales increased 17%. In our store channel, comparable store sales increased 16%. We ended the quarter with a total of 662 stores across the globe. Square footage increased 22% versus last year driven by the addition of 83 net new lululemon stores since Q1 of 2022. During the quarter, we opened 7 net new stores and completed 3 optimizations.
 In our digital channel, comps increased 18% and contributed $835 million of top line or nearly 42% of total revenue. Within North America, revenue increased 17% versus last year. And within international, we saw a 60% increase versus last year with Greater China increasing 79%. And by category, women's revenue increased 22% versus last year, men's increased 17%, and accessories grew 67%.
 It's also great to see ongoing strength in traffic across both channels. In both stores and digital channels, traffic increased approximately 30%. This speaks to the strength of our omni operating model as we engage with our guests in ways most convenient to them.
 Gross profit for the first quarter was $1.15 billion or 57.5% of net revenue compared to 53.9% of net revenue in Q1 2022. The gross profit rate in Q1 increased 360 basis points versus last year and was driven primarily by the following: a 430 basis point increase in product margin, resulting predominantly from lower airfreight as well as regional mix. Markdowns were in line with last year. Occupancy and depreciation leveraged 10 basis points in the quarter. These improvements were partially offset by a 30 basis point increase in product and supply chain costs driven by ongoing investment in product development and supply chain. In addition, FX deleveraged by 50 basis points, which was predominantly offset by a 40 basis point FX benefit within SG&A.
 Moving to SG&A. Our approach continues to be grounded in prudently managing our expenses while also continuing to strategically invest in our long-term growth opportunities. SG&A expenses were approximately $748 million or 37.4% of net revenue compared to 37.7% of net revenue for the same period last year. SG&A came in better than expected due to leverage on higher-than-planned sales and, to a lesser extent, a shift in timing of certain investments.
 Operating income for the quarter was $401 million or 20.1% of net revenue compared to 16.1% of net revenue in Q1 2022. Tax expense for the quarter was $119 million or 29.1% of pretax earnings compared to an adjusted effective tax rate of 27% a year ago. The increase relative to last year is due primarily to accruing for withholding tax on our unremitted earnings in Canada and a decrease in tax deductions related to stock-based compensation.
 Net income for the quarter increased 54% to $290 million or $2.28 per diluted share compared to $1.48 for the first quarter of 2022. Capital expenditures were $137 million for the quarter compared to $111 million in the first quarter last year. The increase relates primarily to store capital for new locations, relocations and renovations and also technology and supply chain investments.
 Turning now to our balance sheet highlights. We ended the quarter with $951 million in cash and cash equivalents and nearly $400 million of available capacity under our revolving credit facility. Inventory grew 24%, in line with sales growth and was $1.58 billion at the end of Q1. 
 We remain comfortable with our inventories, and we're well positioned to continue to fulfill guest demand. At the end of Q2, we expect inventory growth of approximately 20%. And we continue to expect inventory growth to be relatively in line with sales growth in the second half of 2023. 
 We repurchased approximately 300,000 shares at an average price of $336. At the end of Q1, we had $646 million remaining on our $1 billion repurchase program.
 Let me shift now to our guidance outlook. We continue to be mindful of the uncertainties in the macro environment, and as a result, we remain prudent as it relates to planning the business. That being said, we're pleased with the strength we experienced across the business in Q1 and also the start we've seen to Q2. The strength affords us the opportunity to invest in our strategic growth pillars while also delivering on our financial commitments we've laid out in our Power of Three x2 growth plan.
 Let me begin with Q2. We expect revenue in the range of $2.14 billion to $2.17 billion, representing growth of 15% to 16%. We expect to open 9 net new company-operated stores in Q2. We expect gross margin in Q2 to increase 200 to 220 basis points relative to Q2 of 2022. This will be driven by lower airfreight expense, offset somewhat by strategic investments to support future growth, including supply chain, distribution centers and product teams as well as modest deleverage on occupancy and depreciation.
 In Q2, we expect our SG&A rate to deleverage by 190 to 210 basis points relative to Q2 of 2022. While a portion of this deleverage relates to the timing shift of certain investments, it also reflects our strategic decision to invest more in initiatives to grow brand awareness relative to our initial expectations. These initiatives include top-of-funnel brand building and community activations. 
 When looking at operating margin for Q2, we expect approximately 10 basis points of expansion, inclusive of our decision to increase investment into certain of our strategic initiatives.
 Turning to EPS. We expect earnings per share in the second quarter to be in the range of $2.47 to $2.52 versus adjusted EPS of $2.20 a year ago. 
 Shifting now to the full year 2023. We now expect revenue to be in the range of $9.44 billion to $9.51 billion. This range represents growth of 16% to 17% relative to 2022 and is better than our Power of Three x2 growth plan. We expect to open approximately 50 net new company-operated stores in 2023 and complete approximately 25 co-located remodels. This will contribute to overall square footage growth in the low teens. Our new store openings in 2023 will include 30 to 35 stores in our international markets with the majority of these being planned for China.
 For the full year, we now forecast gross margin to increase between 180 to 200 basis points versus 2022. The expansion relative to last year is driven predominantly by lower airfreight expense. For the full year, we now expect airfreight to be down approximately 190 basis points versus 2022. When looking at markdowns for the full year, we continue to expect them to be relatively in line with last year in 2019.
 Turning to SG&A for the full year. We now forecast deleverage of 150 to 170 basis points versus 2022. While we continue to plan the business prudently, our sales trend has been strong. As I mentioned earlier, this gives us the opportunity to invest behind our Power of Three x2 growth pillars while also delivering operating margin this year ahead of our goal for modest expansion annually.
 When looking at operating margin for the full year of 2023, we now expect it to increase by 30 to 50 basis points versus last year. For the full year 2023, we expect our effective tax rate to be approximately 30%, an increase over the 2022 adjusted effective tax rate of 28.1%. This is in line with our longer-term tax rate expectations we provided as part of our Power of Three x2 plan and reflects the increase we expect as a result of accruing for Canadian withholding taxes. For Q2, we expect our effective tax rate to be approximately 30%.
 For the fiscal year 2023, we now expect diluted earnings per share in the range of $11.74 to $11.94 versus adjusted EPS of $10.07 in 2022. Our EPS guidance excludes the impact of any future share repurchases.
 We continue to expect capital expenditures to be approximately $660 million to $680 million for 2023. The increase versus 2022 reflects investments to support business growth, including a continuation of our multiyear distribution center project, store capital for new locations, relocations and renovations and technology investments. A range of $660 million to $680 million is approximately 7% of revenue, in line with our current Power of Three x2 target of 7% to 9%.
 With that, I'll turn the call back over to Calvin. 
Calvin McDonald: Thank you, Meghan. Across lululemon, we are excited about the opportunity ahead of us. We continue to monitor the environment around us, but 2023 is off to a strong start, and we're pleased with our trends as we've entered quarter 2. Given the strength of our product pipeline, our unique approach to building communities, our international growth prospects and our initiatives to grow brand awareness, I'm optimistic that we will continue to deliver on the goal set forth in our Power of Three x2 growth plan.
 And in closing, I want to express my deep gratitude to the leaders and teams across lululemon who continue to deliver these results and bring our culture to life. I look forward to taking your questions now. Operator? 
Operator: [Operator Instructions] The first question comes from Rick Patel with Raymond James. 
Rakesh Patel: Can you dig a little deeper into the sources of the revenue beat versus your expectations? And as you look ahead, which categories and geographies do you have the most confidence in as we think about the rest of the year? 
Calvin McDonald: Great. Thanks, Rick. I'll talk about the drivers overall of our business and then chat quickly on how I see sort of the different regions continue to perform the rest of the year. At a high level, our business model is uniquely different versus our peers with some key competitive advantages, which begin with our D2C omni operating model.
 Second is clearly our product driven by our innovation platform of Science of Feel. And then within that, our product assortment is supported with a large portion which is nonseasonal; the versatility and multiple wear occasions, which cross both sweat and social; as well as the frequency of our new innovative drops that guests wait for and have become accustomed to; and finally, the community connection that we drive through a lot of our initiatives and then recently, the launch of our Essential memberships program and lululemon Studio.
 And if we zoom out, the drivers of our business pre, during and post the pandemic are still very relevant today, and that is the importance of product versatility as it relates to apparel; guests living an active and healthy lifestyle; convenience expected by our guests, which really speaks to our strength in an omni operating model that we've been investing in for many years; and then finally, focus on both physical, mental and social well-being, all supporting the brand positioning. And those continue to be the drivers that separate us from others and fuel our performance.
 And when I look at regional performance, as we've shared, strong growth in North America, internationally -- with international all at double-digit growth. And I expect that to continue as we see balanced growth in every market across gender, category and activity. And with the product pipeline, I don't see that; changing. So I think still balanced and very healthy growth ahead. 
Operator: The next question comes from Adrienne Yih with Barclays. 
Adrienne Yih-Tennant: Congratulations on a great start to the year. Calvin, I wanted to talk about sort of kind of entry-level pricing strategy as you enter new markets, China, Spain. How do you price into those markets at the onset? And then how do you think about building price on a long-term basis, being able to raise those in those markets over time?
 And then, Meghan, if you could just talk to us about kind of the relative segment margin, how we should think about the relativity between North America, APAC/China, I guess, would be the primary driver there, and EMEA. 
Calvin McDonald: Thanks, Adrienne. On pricing, we enter markets with our similar premium positioning of the brand with the intent to sell at full price with markdowns being used only as a means to exit through seasonal shifts in product and not leverage promotional discounting in order to fuel and create demand. We go in with the intent of having parity -- a close range of parity around markets. And then we make adjustments either because of cost of operating within the market, it could be import taxes or other elements. And there may be a slight shift as a result of local competition and strategically. But a tight band and always with the intent of selling full price with moderate discounting, leveraging markdowns as a typical course to exit. So a very similar policy in positioning of supporting full price. 
Meghan Frank: Great. And Adrienne, in terms of regional profitability, we saw meaningful expansion in our operating margin for the quarter relative to last year and would have experienced that across both our channels and our regions. And then in terms of how we think about the relative margin rates by region, North America is our most profitable, followed by APAC, China within that is the highest, and then EMEA. 
Adrienne Yih-Tennant: Great. Congrats again. 
Meghan Frank: Thanks. 
Operator: The next question comes from Mark Altschwager with Baird. 
Mark Altschwager: Really nice acceleration in the international business. I guess as we think about the revenue guidance for the year, obviously, you raised overall today, but just curious if there have been any changes to your thinking relative to 3 months ago in terms of the contribution from North America versus international over the remaining quarters.
 And then kind of just drilling down in China, you've had some unique activation events over the past few months. I'm curious your learnings there. And any data or anecdotes you have on how the brand is being perceived in some of the newer markets you've entered? Any differences in what the product mix looks like in core versus fashion or sweat versus on-the-move in some of these newer markets and newer consumers? 
Meghan Frank: Thanks, Mark. So in terms of top line for the balance of the year, we're obviously coming off of a very strong quarter, which exceeded our expectations at 24% growth. We did guide to 15% to 16% for Q2 and then 16% to 17% for the full year, so both above our Power of Three x2 targets. So feeling well positioned for the balance of the year.
 We're not breaking out the regional performance, but still see meaningful opportunity across both our North America and international regions, obviously, international being a bit outsized, as Calvin mentioned, given the strength we continue to experience and see, particularly in our China region. 
Calvin McDonald: I'll -- on China and the activations that you referenced, as you know, our go-to-market strategy is about building community relationships in connection locally, either through ambassadors and then into -- and with our guests. And that strategy is working incredibly well in China. We've done a number of activations both at the local level, store level as well as larger events. We have a few planned for this summer and into the fall. And those are driving the brand awareness, which I think I've shared with everyone before is in the single digit. So we have a huge opportunity to keep building brand awareness and consideration.
 As we enter new markets, that is one way as well that we are driving brand awareness and consideration. We have good success in our Tier 1 cities and ability to keep building stores as well as in Tier 2. And in each of those cases, stores are performing -- all stores are performing ahead of plan. So we're very pleased with the way the brand is being received, built upon that community model and driving momentum in all new markets that we enter. We now have 101 stores with plans to continue to open this year and then into next moving forward.
 When I look at the overall mix, I'd say our men's and women's business is almost similar to that of North America, which is good considering the age of the brand there. So it's becoming quicker, earlier, the North America dual-gender brand. And we're pleased with the balance between both OTM and sweat. The brand is still rooted as a performance premium brand, and it's playing to our strength of versatility and wear occasions across lounge and social that we're seeing in that market. So very pleased with how product is being received and the momentum, and it really is built upon community activations as you alluded to. 
Operator: The next question comes from Lorraine Hutchinson with Bank of America. 
Lorraine Maikis: Meghan, can you talk about some of the investments that you're pulling forward? What do they pertain to? And then maybe just a little bit more detail on plans to increase brand awareness in China outside of just opening stores. 
Meghan Frank: Great. Thanks, Lorraine. So in terms of SG&A investments, we're obviously experiencing strong top line, and we've seen some recovery in our airfreight expense for the balance of the year. So we see an opportunity to push into investments into our road map behind our Power of Three x2 growth pillars. So specifically, those would be in market expansion in our international regions, enhancing, I would say, guest experience, omni capabilities as well as digital and guest support and then important foundational investments across the business. And these would also include brand awareness opportunities where we continue to push in there for the balance of the year and then also higher depreciation on current and prior year investments in terms of capital expenditure. And then can you remind me the second part of your question, Lorraine? 
Lorraine Maikis: The plans to build brand awareness in China. 
Calvin McDonald: I'll take that, Lorraine. So in addition to the stores, as you mentioned, which are one of our top vehicles to do and achieve brand awareness and consideration, we also activate a number of campaigns and do so locally. So they may take a global campaign and then activate it locally, build upon it. That's the example of the Get Into It campaign that we did globally, which was all around our women's leggings initiative.
 They also will create a market-specific activation campaign, which we're in right now called Worn By Us, which is a fantastic campaign where they are celebrating and highlighting all the ambassadors that we have relationships with, their favorite products and telling their story of inspiration and how they live a well-being life. And we have many more of those plans. So we definitely invest in campaign and traditional brand marketing in that market to achieve the awareness and consideration opportunity.
 And leveraging digital, which is a big part of our business. We expanded channels. We have .cn. We have Tmall. We added JD. We continue to innovate and do a variety of initiatives across WeChat, leveraging the WeCom platform for a lot of our one-to-one and one-to-many initiatives and plugging into our community. So there are a lot of exciting things.
 And as you know, we have a leader in [ Sanyan ] that is based in Mainland China, in Shanghai. We have a specific SSE office where we have talent and resources that are specifically focused on driving these initiatives and building the business in Greater China and Mainland China. 
 So those are just a few of the initiatives that have been executed -- executing, but we have a team on the ground that's empowered to build that business. 
Operator: The next question comes from Dana Telsey with Telsey Group. 
Dana Telsey: Congratulations on the results. As you think about the benefit in the margin of the 430 basis points, I believe, of freight reduction, how should we think of that through the year? And what are you seeing in terms of AUR? And with the extensive product innovation this year, how are you planning AUR? And are you seeing any difference regionally, and even globally, in terms of level of reception to new products and consumer differentiation? 
Meghan Frank: Thanks, Dana. In terms of airfreight, so we are expecting it to be down 190 basis points now for the year. So that is now 50 basis points above 2019 levels. So we made some great headway there. We did experience 430 basis points product margin expansion in Q1, which was primarily driven by airfreight. We will see the year-over-year comparison moderate throughout the year with Q4 being close to flat to last year, and we'll continue to monitor and push into opportunities there. I'd say in terms of AUR, we're not expecting any material change to our AUR strategy in terms of the assortment. And then I'll let Calvin take the last part. 
Calvin McDonald: Yes. Dana, in terms of product newness and how it may differ globally, one of the benefits of our business is that, predominantly, a global assortment strategy drives the momentum across every market and region. And obviously, there's a huge number of benefits to that. And there are a few nuances by market and some that we designed into. 
 So one in particular in APAC is fit, where we have a whole different fit classification for our leggings, for our bras and for inseams on the men's bottoms. And we introduced that a few years ago, and it has really helped in driving those categories in those markets. 
 Footwear, as you know, we've rolled out in only a few international markets. So even though we see demand in -- for that category and guests asking for it, as of now, it's in Mainland China, it's in the U.K. and in North America. Seasonality is an obvious factor. 
 And then the only other difference that I would call out is we can see and do see differences globally based on the power of social media in certain platforms. So in markets in which a lot of the U.S.-based social influencers have a large voice, we see similar trends, the Everywhere Belt Bag, the Define Jacket. And in markets where we don't see the same type of U.S.-based social media influence, there are other trends, and we don't see quite the distortion in these items. But overall, I think the main message is outside of fit, which is, by design, a global assortment strategy that is more similar than not and drives the momentum across every market. 
Operator: The next question comes from Paul Lejuez with Citigroup. 
Tracy Kogan: It's Tracy Kogan filling in for Paul. First, I was wondering if you could tell us the progression in the quarter by month and whether you saw any falloff at all in the U.S. business as some others have seen. And then secondly, I was just hoping you could give us your current views on the competitive landscape in the U.S. and the macro backdrop. 
Meghan Frank: Thanks, Tracy. In terms of months, so we don't break out monthly performance specifically. But what I would share is that we saw double-digit comp increases each month of the quarter. February was our strongest month, followed by April and then March. And coming off of the 24% sales growth, we're pleased to be able to guide to 15% to 16% in Q2 and then 16% to 17% for the full year. Obviously, planning multiple scenarios as we move into the balance of the year but feel well positioned. 
Calvin McDonald: And in terms of competitive and macro, we continue to, as we always have, monitor the actions that are taking place both in the competitive land -- I think I've talked before about pricing. That was a strategic decision last year to take very minimal price activity, and that allowed us to continue to support our full-price selling, in particular, when most others had to course-correct and pull the promotional lever to adjust. And we're going to continue to manage that. 
 We are seeing inventory levels come in better positioning. So although I'm anticipating further discounting in the marketplace, I don't expect it will be worse than it has been, and our business has continued to perform well during that heavily promoted period. And as you saw, we got our inventory this quarter ahead of guidance and in line with our revenue number. 
 So from a competitive perspective, I think we're well positioned and have an exciting, innovative pipeline of product to come for the back half of this year, and that always fuels our business. And I'm excited with what I see and what's coming for both the male guest and our female guest. 
 On macro, with the uncertainty, as we've done for the past 2 years, we're going to continue to plan the business for multiple scenarios, monitor it. Our guest metrics were healthy in Q1 in terms of both traffic transaction and new guest acquisition, but we're continuing to monitor and we'll adjust as we need to. 
Operator: The next question comes from Matthew Boss with JPMorgan. 
Matthew Boss: Congrats on another great quarter. So Calvin, on the broad-based global strength of the brand, have you seen any change with the North America core consumer? Can you elaborate on drivers of the outside store comps that you're seeing? And just any overall change in global momentum that you've seen here in May?
 And then Meghan, with markdowns 40 basis points favorable to 2019 in the first quarter, I guess, can you elaborate on full-price selling trends, your better-than-planned inventory? And just does this create potential opportunity in the back half of the year as we think about markdowns and the opportunity in terms of a year ago? 
Calvin McDonald: I'll take the first part. In terms of our guest metrics, they remain very strong. We've seen no change in our cohort behavior in terms of frequency of purchase or engagement. In addition, in quarter 1, transactions by existing guests increased 22%, and our transactions by new guests increased 28%. And traffic was also strong across both channels with stores up over 30% and e-comm up approximately 30%.
 And when I look globally across every region, that behavior, we don't share the numbers specifically, but the general behavior of very healthy new guest acquisition, very healthy transaction and engagement with existing guests as well as traffic to both channels continue. Some of the differences, what's driving, one, brand awareness and consideration is low and represents a significant runway of growth and opportunity for our business. And as we build new doors, as we continue to feed incredible, exciting, innovative product, that is helping to fuel our business and will continue to, as I've alluded to. I mean international was 16% of our revenue and represents a significant opportunity for us, as we all know, going forward for this brand.
 And then from a store performance versus our peer set, while we're equally able to continue to grow, our online business speaks to the strength of our omni guest relationship and strategies. It's really immaterial where they choose to shop, and the technology links both channels together for a very frictionless fluid flow. And we have guests coming to us and into both channels and interacting with the brand accordingly. And that's obviously supported by a D2C model that allows them to do that and not have any other intermediary getting in the way of the relationships we have.
 So I think those are a few of the drivers. But very, very strong guest metrics shared across the regions with opportunity with brand awareness to keep building our business moving forward. 
Meghan Frank: Great. And then in terms of markdowns, so we were pleased with our performance in Q1. So markdowns flat to 2022, and then as you mentioned, slightly under 2019. Our expectation right now embedded in our guidance is that we continue to expect markdowns to be generally flat year-over-year, which will also make a slot to 2019 levels. And really pleased with our performance in top line in Q1 as well as the full-price trend that was embedded in that. And we'll continue to closely monitor. 
Operator: The next question comes from Ike Boruchow with Wells Fargo. 
Irwin Boruchow: Meghan, just 2 quick ones on the model for me just to kind of follow up Matt's question. 3 months ago, you had said you expected higher markdowns year-over-year in 1Q through 3Q. They were flat in 1Q. Now you're kind of saying that it should be flat the rest of the year. So just where did that -- I'm just kind of curious if you could comment on the improvement that you thought versus 3 months ago. And then now with the airfreight up to 190, is there any additional airfreight potential upside into fiscal '24? Or would that kind of give you like fully recaptured freight dynamics at that point? 
Meghan Frank: Great. Thanks. Yes, I'd say the change in markdown performance really came through the outperformance on top line and the portion of that, that came through full-price sales. So when we look at the balance of the year, we're expecting generally in line for the full year, but there is an outperformance in Q1.
 And then for airfreight, we are now 190 basis points down to last year, still 50 basis points above 2019 levels. We do expect over the longer term to continue to push into recouping all of that airfreight amount. So I think too soon to put a fine point on 2024, but we continue to make good progress on that line item, and we'll continue to look for opportunities to optimize. 
Operator: The next question comes from Alex Straton with Morgan Stanley. 
Alexandra Straton: Congrats on another great quarter. Just firstly, did you guys observe any deviation in purchase behavior by household income level across the quarter? And then secondly, just zooming out, margins sit hundreds of basis points above pre-COVID levels. It's really amazing. So can you just walk us through the puts and takes of that? Is it just sales leverage or other pieces -- moving pieces there would be helpful. 
Meghan Frank: Great. In terms of guest metrics, nothing material by household income. We were pleased, I would say, overall guest metrics, both existing and new gas metric trends, above 20% for the quarter. And then can you remind me, sorry, of the second part of your question? 
Alexandra Straton: Just margin sitting so much higher than pre-COVID levels, yes, the key puts and takes there. 
Meghan Frank: And sorry, are you speaking specifically to gross margin? 
Alexandra Straton: Both gross and operating. 
Meghan Frank: Yes. So our operating margin is pretty flat to 2019 levels. And then I'd say in terms of gross margin, we're well above given the composition of our business has shifted to be -- we pulled back somewhat on new store openings. The cost of that is within gross margin. And then we've invested more deeply behind the digital portions of our business. It's in SG&A. And then, obviously, a big piece through scale and revenue outperformance. 
Operator: The next question comes from Brooke Roach with Goldman Sachs. 
Brooke Roach: Calvin, I was hoping you could speak to the opportunity to build on the success of the platform strategy that you've built so far. How are you thinking about balancing new innovation within key platforms like the Align versus building out new product platforms that can be built upon in the future?
 And then, Meghan, can you elaborate on your inventory outlook? What is the path to improve inventory turn from here? And how should we be thinking about the time line to repacing that prepandemic inventory turnover rate? 
Calvin McDonald: Brooke, in terms of product, we definitely think of it through the lens of a hero item strategy, a franchise expansion strategy and then newness that could either show up as a new item and/or franchise. So that's what has been fueling our business. And then equally in that, not only bringing newness but going back as well as updating, like we did in this quarter, for instance, on our Pace Breaker short, for instance, for him where we took a fantastic single hero item and we've innovated it with a number of changes that have been incredibly well received. 
 In the franchise lineup, we're always looking at strengths and ways in which the positioning of that, either through fit, versatility, functionality and/or fabric can be extended into additional unmet needs for the guest. The Align being one of our strongest franchises, we introduced the Align dress this quarter, which was incredibly well received. And equally building new franchises, either through the introduction like we did last year with footwear, which we've declared as a test and learn for us. But we're excited with the initial results and success in being able to build that forward into a very positive business in general. And there are additional ones that we'll be launching later this year that really fit into that franchise category that we're really, really excited about.
 So we definitely take a strategy across category activity, hero item franchise, look for ways to expand, look for ways to update and then obviously ways to create new and then -- and build from that. 
Meghan Frank: Great. And then in terms of inventory, so our expectation is we'll be approximately 20% at the end of Q2 and then inventory in line with sales in the second half of the year. We will still have opportunities, as you mentioned, to get our inventory turns back to historical levels. We have seen some material improvements in supply chain and lead times but not all the way back to historical positioning. So too soon to say when we'll move back to those levels, but that would be the goal over the longer term. 
Operator: The next question comes from Abbie Zvejnieks with Piper Sandler. 
Abigail Zvejnieks: Just on the growth of the Other segment, can you break out, I guess, or just comment on what of that is driven by lululemon Studio versus other components? And then any numbers you can give on early subscriptions or learnings or loyalty numbers? 
Meghan Frank: Yes. In terms of the Other segment, we aren't breaking out lululemon Studio as a portion of that. But that bucket also contains strategic sales, seasonal stores and outlets, which would be a larger revenue component and the material driver in that bucket. And then in terms of early statistics? 
Calvin McDonald: Well, we just launched -- so a couple of things in terms of that. We just launched a few days ago our digital app for lululemon Studio, which is $12.99 a month and gives guests access to the same content that you can get but without the hardware purchase. We're excited to introduce that. We think it will expand the TAM and allow us to offer that offering into the membership program.
 Last quarter, I talked to the membership number of essentials, which after 6 months was a real strong start, over 8 million. We're not going to share that number quarterly, but I will indicate it's continued very strong momentum and continue to grow. So we're excited about Essential memberships, how it's going to support our community, fit into lululemon Studio, the benefit of sweat and other means to interact with our guests and drive both LTV and incrementality. And early with having these tools all supporting the membership program, we'll share more as we move forward, but excited as we continue to see strength in that Essential membership base grow. 
Operator: That's all the time we have for questions today. Thank you for joining the call, and have a nice day.